Operator: Good morning, ladies and gentlemen, and welcome to the Enbridge, Inc. and Enbridge Income Fund Holdings, Inc. 2016 Fourth Quarter Financial Results Conference Call. I would now like to turn the meeting over to Jonathan Gould, Director of Investor Relations. You may begin, sir.
Jonathan Gould - Enbridge, Inc.: Great. Thank you, Brandon. Good morning, and welcome to the Enbridge, Inc. and Enbridge Income Fund's fourth quarter 2016 earnings call. With me this morning are Al Monaco, President and CEO; John Whelen, Executive Vice President and Chief Financial Officer; Guy Jarvis, Executive Vice President and President for Liquids Pipelines; Perry Schuldhaus, Vice President, Liquids Business Development and President of Enbridge Income Fund; and Wanda Opheim, Senior Vice President, Chief Accounting Officer. This call is webcast and I'd encourage those listening on the phone line to view the supporting slides, which are available on our website. A replay and podcast of the call will be available later today, and a transcript will be posted on the website shortly thereafter. The Q&A format will be the same as always. We'll take questions from the analyst community first and then invite questions from the media. I'll ask that you wait till the end of the prepared remarks to queue up for the questions and please limit your questions to two per person, then re-enter the queue if you have any additional queries. Also, the Investor Relations team will be available after the call for any follow-up questions that you might have. On slide 2 before we begin, I'd like to point out that we will refer to forward-looking information in connection with Enbridge and the subject matter of today's call. By its nature, this information contains forecast, assumptions, and expectations about future outcomes, so we remind you that it is subject to the risks and uncertainties affecting every business, including ours. This slide includes a summary of the significant factors and risks that could affect Enbridge or could affect future outcomes for Enbridge, which are discussed more fully in our public disclosure filings available on both the SEDAR and EDGAR systems. So, with that, I'll turn it over to Al Monaco.
Albert Monaco - Enbridge, Inc.: Okay. Thanks, Jonathan. Good morning, everybody. You should be looking at the agenda for today's call on the slide you have there. I'm going to start by recapping 2016 and then get into our business update, including the status of our secured capital program, and the new investment we announced this morning. John is going to take you through the financial results, and our funding position, and I'll wrap up with an update on the Spectra combination and our post-close investor outreach plan. So, I'm moving to slide 4. This slide captures in one spot how our 2016 accomplishments position us well for the future. We had an excellent year on safety and reliability and the work our teams have done to achieve industry leadership has paid off. Despite significant industry challenges, we're very pleased with the solid numbers we put up in 2016. A big contributor was great performance on our liquids mainline. In fact, we hit record throughput in December and 2017 and beyond look good as well. Our CAD 27 billion secured CapEx program is on track. We put CAD 2 billion into service last year with another CAD 6 billion slated for this year. We continue to add to the secured growth portfolio most recently with the Hohe See project. That's otherwise referred to as high seas in the English translation, so I'll use that. That's the offshore wind project in Europe, more on that one later. As you know, we've been focused on further strengthening the balance sheet. We haven't been shy about bringing a new equity to fund our secured capital commitments. So, we're in very good shape right now. And of course, with the Spectra transaction, we're now positioned extremely well strategically across a number of fronts. Turning now to slide 5, let's look at the financial highlights. As I said, we're very pleased with the results, especially given the commodity price downturn, the Alberta Wildfires and the difficult execution environment that we're in. What the bar show here is that after accounting for the wildfires, adjusted EBIT and ACFFO per share were up strongly at 14% and 12% for the year, right on top of the midpoint of our guidance. And recall as well that ACFFO and EPS reflect the CAD 2.3 billion common equity prefunding we did earlier last year. This is a strong result and there's a couple of things that stood out in hitting the numbers. First, I think the team did a great job of getting our systems back online as quickly and as safely as possible after the fires. And secondly, we did very well on managing discretionary costs. We're always focused on this of course, but extra effort this year for sure. Let's cover the business update now onto slide 6, and I'll start with our near-term outlook for the mainline and how we're positioned going forward. The slide shows mainline capacity and throughput. There is a few takeaways here to highlight. As you can see with the yellow line, we've added low cost incremental capacity, that's been very effective for our customers in meeting WCSB volume growth. And the system is getting pretty close to full utilization. We're off to a good start this year as January ex-Gretna volumes were 2.65 million barrels per day, another record. Our ability to achieve this utilization doesn't just happen. It's driven by our integrity program and very careful maintenance planning that provides customers with effectively additional capacity, high reliability and reduced downtime. And our downstream connections through Flanagan South and Southern Access Extension provide outlets when we see constraints in the upper PADD II market. We're also looking actively for ways to optimize the light and heavy crude balances on our system to reduce heavy apportionment. In fact, we've got a few options right now, and Guy and his team do, ready to go for about a 100,000 barrels per day of light capacity with other options that should be ready to go in Q2. The other thing that's apparent from the picture you see here is that we're very near maximum capacity, and that should be the case for a couple of years at least. In 2019, the replacement of Line 3 will provide industry with another 375,000 barrels per day of new capacity, which we'd expect to be fully utilized given a forecast growth out of the basin. Now, as you know, there are a number of new pipelines in development that could come into play over the next few years, so the natural question is, how much capacity is required, and what does it mean for our mainline? So, I'll talk about that on slide 7. As to the amount of ex-Alberta capacity that producers and refiners want to commit to, that will ultimately be their call, but based on the current supply outlook, we believe that our post-Line 3 capacity, along with future expandability and one of the other pipelines being proposed provides enough capacity well into the latter half of the next decade. But what really drives our confidence in our mainline is the competitive position and the further incremental expansion potential that we're detecting here on the map. The size and scale of our system provides the most competitive tools to the best markets. We've got unmatched storage and operational flexibility that our customers look to, and we're connected to 3.5 million barrels per day of refining markets, which provides producers with great optionality, including the most competitive refining center for heavy crude, the U.S. Gulf. Over and above Line 3, we have over 400,000 barrels per day of low cost and highly executable expansion opportunities in the queue that can be staged to match the supply profile. In fact, we're working up plans to add about 175,000 barrels per day of capacity that could be available commensurate with the Line 3 Replacement in 2019. And of course, there are no long-term contractual commitments required by producers to underpin these expansions, which provide them with very good flexibility. Over to slide 8 now for an update of our 2015 to 2019 secured capital program. The chart illustrates here strong execution on cost and schedules, with another $10 billion or so put into service in 2015 and 2016. Last month, the first phase of the Regional Oil Sands Optimization project, that's the Athabasca Twin was put into service. Of the remaining inventory, we're on budget despite the challenging environment that you see, you can check out the green squares there to identify that for each of the projects. On to slide 9 and a bit more detail on the projects. On the Wood Buffalo extension, the Fort Hills shippers, and Suncor recently provided us with their timing, and notice on the first oil which is in December. Pipeline construction is substantially complete. We'll be earning AFUDC until we're in service there. So our investment economics don't change with this in-service date and are very attractive on this project. Solid progress on Line 3 Replacement on both sides of the border. Of course, in Canada, we received Federal Approval for the project. In Minnesota, scoping of the EIS is complete, and preparation of the draft is currently underway. We expect the EIS to be out for comment in April, and the routing review, of course, will follow the EIS process. On the Bakken Pipeline System, otherwise known as DAPL, you know that the final easement was released, and we've now closed on our 27% investment. Construction on the remaining segment is underway and the pipe could be in service as soon as Q2. Strategically, for us, this is important because it provides another conduit into the Gulf Coast refinery market. It also lines up very well with our value proposition, long-term contracts, with strong customers, expansion potential, and a very solid economic project for both us and EEP. Enbridge will provide the initial funding for EEP, and a joint funding arrangement will be negotiated as part of EEP's strategic review underway right now. So, no external funding required by EEP, and that funding, by the way, overall, for the group, has already been provider for in the financing plan that John will talk about. The last project highlighted here is High Seas Offshore Wind Project that we announced this morning. All permits for this project had been secured and construction is slated to begin later this year. Let me provide some additional color on the renewable strategy and this project itself. Slide 10 is just a reminder of how renewable energy fits our strategy and the value proposition. It's clear that we're going to need all sources of supply to meet growing global energy demand, and that includes renewable supply. The cost of wind power is becoming even more competitive due to larger turbines, in fact, on this project, they're 7-megawatt size, better technology and understanding of wind resources. You can see from the chart here that we've grown the business prudently over time. Our 1,900-megawatt portfolio makes us one of the largest wind and solar players in Canada. That's allowed us to gain development and operational experience over the last decade, which we think is critical in establishing a sustainable business platform, rather than just a collection of assets. We think it makes sense to have renewables as part of our opportunity set and as one element of contributing to and extending our growth rate. Given the plethora of opportunities we have in front of us, even more post-Spectra, renewables compete for capital and need to meet the same stringent investment criteria as the rest of our business. The table that you see here illustrates the key criteria. So, for a renewables project, that generally means long-term PPAs, where offtake is contracted, power price is being predetermined and manageable capital cost risk. The bottom line to that is that the long-term risk adjusted returns for renewables need to line up and they do with the rest of our businesses. So that's the context for the newest project on to slide 11. Just a bit of background here; European offshore wind is one of the fastest-growing energy segments today. And we've become part of this over a very short period of time. That's simply because there's a significant push for greater component renewables in the supply mix in Europe. That means that we can achieve strong commercial underpinnings, and the supply chain is now very well developed. These conditions allow us to leverage our renewables knowledge, major projects capability, and experience in working offshore in the Gulf of Mexico. With High Seas, our fifth European offshore wind investment, we have roughly 1,100 megawatts of net capacity under development expected to come in service nicely over the next few years. We really like this project for a bunch reasons actually. First, in EnBW, we have a great partner who is experienced in European energy and offshore wind. At CAD 1.7 billion, it's a meaningful investment. And it comes with a 20-year PPA for 100% of the volume. The project has been derisked with the vast majority of capital being locked down with fixed price contracts and, importantly, it comes with an embedded 112-megawatt organic expansion. Financially, the project has a solid return. And we've got a new accretive near-term source of new cash flow with an expected ISD in 2019. Importantly, equity prefunding for the project has been fully provided for through our preferred share, and hybrid financings completed in December. Finally, I think this is a good example of how we're already making progress at securing some of the CAD 48 billion pool of probability-weighted growth projects we talked when we announced the Spectra combination. And that inventory will support our 10% to 12% dividend growth projection beyond 2019 post-Spectra. With that, let me turn it over to John to discuss the financial results of both Enbridge and the Enbridge Income Fund.
John K. Whelen - Enbridge, Inc.: Well, thanks, Al, and good morning, everyone. I'll pick things up here on slide 12 with a look at the performance of our businesses in both the fourth quarter and for the full year, focusing on adjusted EBIT, or earnings before interest and taxes, at the segment level. As you can see, it was a strong year overall. Adjusted EBIT was up CAD 80 million quarter-over-quarter and a little over CAD 500 million for the full year. These operating results put us in the top half of the EBIT guidance range we announced in late 2015 and reflect positive year-over-year contributions from our largest lines of business. The MD&A and news release provides a good breakdown of the performance of all the various sub-segments. I'll focus on some of the key factors that drove the results for each segment, starting at the top of the table with Liquids Pipelines. For the full year, adjusted EBIT generated by Liquids Pipelines was up CAD 574 million over 2015 driven by a few key factors. Firstly, strong performance from both the Canadian Mainline and Lakehead Systems, which as Al has already noted, delivered a record throughput, despite the impact of the Alberta Wildfires in the second quarter, and enabled by the systems expansions placed into service last year. Secondly, increased contributions from our Mid-Continent Pipelines, where total revenue increased due to higher take-or-pay volumes under existing contracts and lower apportionment on the Mainline upstream of the Flanagan South Pipeline. And finally, benefited from higher contributions from our Regional Oil Sands Pipelines reflecting new assets placed into service in the second half of 2015. Fourth quarter EBIT was up by CAD 62 million compared to the fourth quarter of last year, driven by higher contributions from the Lakehead System, which benefited from record deliveries and a higher toll compared to Q4 2015, and by growing contributions from the new Regional Oil Sands and Feeder Pipelines. However, these positive impacts were partially offset by a lower Canadian Residual Benchmark Toll in the fourth quarter of this year, and the lower effective foreign exchange hedge rate, which both served to reduce the EBIT generated by the Canadian Mainline when compared to the prior year quarter. Shifting down to Gas Distribution, the story here is pretty straightforward. Adjusted EBIT was up nicely, CAD 48 million for the full year and CAD 22 million on a quarter-over-quarter basis, driven primarily from the growth in the rate base, that resulted from the completion of the GTA system reinforcement project that was brought into service at the beginning of this year, as well as lower operating and maintenance expense, and the benefit of unbudgeted customer growth. Moving to Gas Pipelines and Processing, adjusted EBIT was up about CAD 30 million for the full-year, and CAD 7 million quarter-over-quarter. Both year-over-year and quarter-over-quarter variances were largely driven by the same factors: on the upside, strong performance by the Alliance Pipeline, which generated higher operating income under its new service delivery and tolling model; an increased contribution from our Canadian Midstream segment, which benefited from the acquisition of the Tupper Plants in April; and a significant uptick from our offshore systems in the Gulf Coast, where EBIT was higher as a result of improved throughput on some of the systems, and the impact of new assets placed into service, including the Heidelberg lateral, which commenced operations at the beginning of this year. Offsetting these positives was the weak performance of Enbridge Energy Partners' Gas Gathering and Processing business, which continued to struggle in 2016 in the face of low commodity prices, which have affected drilling and production volumes in the areas those assets serve. Moving down one more line, EBIT generated by Green Power Transmission was down CAD 6 million for the quarter, and CAD 10 million year-over-year. While wind resource was stronger at our U.S. facilities, this was more than offset by generally weaker resource on our facilities in Canada, and by the impact of icing events in the first and fourth quarter, which affected operations on some of our Eastern Canadian facilities. Energy Services was up CAD 17 million compared to the fourth quarter of 2015, but was down CAD 33 million on a year-over-year basis. During the quarter, we did see more opportunities for profitable tank management strategies, which helped that picture. However, full-year results were still down substantially from 2015, reflecting a generally weaker commodity price environment, which limited opportunities to benefit from differentials. Finishing off the EBIT look, Eliminations and Others, or E&O, reflects a net unfavorable variance of CAD 22 million quarter-over-quarter, and CAD 103 million year-over-year. The negative variances on this line item, both for the year and the quarter, are primarily due to a couple of factors: higher corporate, operating and administrative expenses that weren't recovered from business units; as well as increased settlement losses on foreign exchange hedges not allocated to specific segments. Just as a reminder, E&O is the segment where we pick up hedge settlement gains and losses on the economic FX hedges we have in place against our U.S. assets. Payouts on settlement of these hedges increased in 2016 as the Canadian dollar weakened relative to the average hedge rate contributing to the negative variance. Importantly, these negative settlement impacts are offset by the impact of translating earnings from our U.S. dollar operations at the weaker Canadian exchange rate, which shows up, of course, in the EBIT of those segments with U.S. operations. So, putting it all together, despite a few puts and takes, 2016 was a very solid year from an operating income perspective. Adjusted EBIT was close to CAD 4.7 billion, up 12% as Al mentioned, over 2015, and towards the higher end of our CAD 4.4 billion to CAD 4.8 billion guidance range for the year. Slide 13 summarizes how the EBIT growth I just went through translated into bottom line ACFFO growth. And I'll start with the quarter this time. As you would expect, the depreciation add-back is up, given projects brought into service since the fourth quarter of last year. On the other hand, interest expense was higher as a result of the incremental debt incurred to fund those projects that came into service. Current income taxes were down CAD 22 million quarter-over-quarter, largely due to some one-time tax optimization strategies that were introduced in the third quarter. And distributions to non-controlling interest were up, reflecting higher distributions to the public out of the Fund Group. Other non-cash adjustments were down CAD 64 million, relative to Q4 2015. This is primarily due to the impact of some accounting true-ups on recognition of unrealized foreign exchange gains, which serve to drag down reported ACFFO on a quarter-over-quarter basis, but shouldn't impact the go-forward run-rate. For the full-year, many of these same factors were at work. Higher depreciation add-backs were offset by a higher interest expense and by the full-year effect of higher distributions to the public out of the Fund Group. You'll also note that maintenance capital for the full year was lower in 2016. This was partly due to some planned leasehold improvement work that was deferred, but also reflects some efficiency introduced to our information systems maintenance program, which we expect, will create ongoing savings. Cash taxes for the full-year were down by CAD 68 million, coming in lower than we originally guided, primarily due to the optimization strategies I just noted. But we don't expect to see this benefit repeated in 2017. Cash distributions in excess of equity earnings were down CAD 61 million year-over-year, while earnings from equity accounted foreign investments were up year-over-year, but distributions from those entities didn't increase at the same pace, which is why this line shows a negative variance. And finally, a positive variance of CAD 186 million in other non-cash adjustments, primarily reflects tolls and fees we collected in cash, but did not record in EBIT. All-in-all, the strong EBIT growth did translate to solid bottom line cash flow growth for the full-year. ACFFO per share came in at CAD 4.08, about 10% up over last year and solidly within the guidance we provided at the outset of the year, a strong performance in light of the impact of the wildfires and our larger and earlier than planned equity offering in the first quarter. Moving to slide 14 and shifting to the results of Enbridge Income Fund and Enbridge Income Fund Holdings, Inc. or ENF. For the quarter, Fund Group ACFFO was up CAD 35 million primarily due to strong earnings and cash flow performance from Alliance under its new tolling and service delivery model, as well as lower current income taxes, which resulted from the tax optimization strategies I referred to a moment ago when discussing Enbridge, Inc.'s results. Notwithstanding a relatively low overall Fund Group payout of about 82%, distributions paid to ENF were up CAD 25 million compared to the fourth quarter of 2015, which enabled ENF to increase its dividend per share of full 10% from the rate that prevailed in the fourth quarter of 2015. For the full year, Fund Group ACFFO was up very significantly over 2015 reflecting the transformational dropdown of assets to the Fund Group that we completed in September of 2015. The Fund Group's 2015 results only reflected four months of contribution from the transferred assets, so a big part of the year-over-year growth story still continues to be a dropdown. As can be more clearly seen in the quarter-over-quarter picture, the underlying assets are performing well and generating solid organic growth in their own right. All together, for the full-year, the Fund Group generated ACFFO of just over CAD 1.8 billion, well ahead of our CAD 1.75 million to CAD 2.05 billion guidance range and up over CAD 1 billion year-over-year due to its larger asset base and growing contributions from Alliance. Over the full-year, total distributions paid by the Fund Group to ENF increased a CAD 111 million to CAD 252 million, providing the underlying support for ongoing dividend increases at ENF. ENF raised its monthly dividend by 10% in September 2015 at the time of the dropdown and again in January 2016. As you can see here, reported 2016 dividends per share were up 17% on a year-over-year basis compared to dividends paid in 2015 as a result of these two increases. And we just announced in January another 10% increase in ENF's monthly dividend to CAD 0.0171 per share or about CAD 2.5 per share on an annualized basis, reflecting the Fund Group's strong historical performance and its outlook for the coming year. And on that topic and looking ahead to 2017 on slide 15, the outlook remains very strong. We're projecting that Fund Group will generate ACFFO between CAD 1.9 billion and CAD 2.1 billion this year. The growth is expected to be driven primarily by higher volumes in the Canadian Mainline system and the absence of the wildfires that disrupted operations last year, projected increase in the Canadian Residual Benchmark Toll starting in April, and the impact of new capital projects coming into service. Those projects include the Wood Buffalo extension, which is part of the larger Regional Oil Sands Optimization Project. Al mentioned the delay of the startup of Wood Buffalo under December. The delay has modestly dampened our outlook for Fund Group ACFFO in 2017. However, the underlying contract will permit a full recovery of equity return and debt cost during construction through ongoing tolls. And the delay will not have a meaningful impact on project returns or the longer term projected cash flow profile of the Fund Group. Our updated outlook fully supports the 10% dividend increase we announced in early January and our longer term projections for Fund Group ACFFO continue to support annual increases in ENF's dividend of approximately 10% per share through 2019. Moving on to slide 16 and before I turn things back over to Al, I wanted to briefly highlight some of the progress we've made over the course of year to strengthen the balance sheet, diversify our funding sources, and improve Enbridge's overall financial flexibility. In total, we raised over CAD 10 billion Canadian equivalent in new long-term capital across the Enbridge Group through public markets. This included large and successful follow-on common share offerings by Enbridge, Inc. and Enbridge Income Fund Holdings earlier this year, and over a CAD 1 billion of new common equity raised through our DRIP and PIK programs. We successfully refinanced and turned out a large portion of construction-related bank debt and commercial paper, and further diversified our sources of term funding, raising term bank debt through Asian financial markets on attractive terms. In the fourth quarter, we further bolstered the balance sheet issuing CAD 750 million of rate reset preferred shares here in Canada, and another $750 million through the hybrid security issuance in the U.S. public market. Both of these securities received 50% equity credit from Moody's and Standard & Poor's. Including these hybrids, over the course of the year, we raised total – close to CAD 5 billion in common equity or common equity equivalent funding. And at the same, we've been enhancing our financial flexibility through asset sales. You'll remember at the time of our announcement of the Spectra acquisition, we set a target of divesting a CAD 2 billion of noncore assets within a year. And as you can see from the chart on the right-hand side of this slide, we've been making good progress. In total, we've either sold or have agreed to sell roughly CAD 1.7 billion of miscellaneous or other noncore investments. All of these transactions are expected to be closed by the end of the first quarter. And we continue to pursue a number of attractive opportunities, and are confident that we'll comfortably meet and potentially exceed our stated target. These monetizations free up equity capital for redeployment into growth projects, further bolstering the balance sheet, and together, with the incremental long-term capital raised during the year leave us very well-positioned from a financial perspective heading into the merger with Spectra. With that, I'll turn it back over to Al to wrap up.
Albert Monaco - Enbridge, Inc.: Okay. Thanks, John, and we're on slide 17 here. I'm going to conclude with an update on where we are on the Spectra transaction. The map here is really just meant to be a quick reminder of why the combination makes so much strategic and financial sense for us. I think you're all well grounded, so I won't go through this entire list, but maybe just point out a couple of things. Essentially, we're going from three to six strategic business platforms, which are going to drive out that CAD 48 billion in risked opportunities beyond 2019. It extends the industry-leading ACFFO growth rate and the visibility of our 10% to 12% annual dividend growth outlook into the mid next decade. Further bolsters the balance sheet, funding flexibility and diversification of cash flows, and all of this is captured without sacrificing the strong value proposition, commercial underpinnings and the high predictability of cash flows that you've become to know us for. We felt pretty good about this combination back on September 6, when we announced it, but even more positive today and here's why I say that. Firstly, commodity prices since then has stabilized, and we're more bullish on a sustained recovery. Very good news for our customers. But it also means more infrastructure is going to be required. Second, the political landscape in North America shifted to, let's call it, a more balanced tone for energy and infrastructure development. We've seen strong conviction from the federal and provincial governments in Canada in recent months to advance infrastructure, and we see that happening as well in the United States on economic growth and a positive stance on energy. We're very well positioned to benefit from all of these dynamics, particularly given our greater exposure to the U.S. market post-Spectra. So, there's clearly a renewed momentum, we think here, that we think is going to be positive for our future. We're obviously very eager to get the transaction closed and get to work on new opportunities, so let me talk about where we are on that on slide 18. We've updated this slide since the last call in December. Both Enbridge and Spectra shareholders voted overwhelmingly in favor of the transaction, the OEB provided its confirmation and we received approval from the Committee of Foreign Investment in the United States. Yesterday, we're very pleased to receive clearance from the FTC, so that's a great outcome, and it means that the only remaining regulatory approval relates to the Canadian Competition Act. The upshot of all of that is that we remain confident that we'd be able to close in the first quarter. We're working hard on integration planning. Moving now to slide 19, so let me just spend a minute on that. A key driver as you know of any combination is successful integration, and the Enbridge and Spectra teams, I'll say, have been working very well together and focused on planning since we announced the deal. We've got dedicated integration planning resources to ensure smooth transition. We're now ready for closing and running the business on a combined basis. We call that Day 1. We're also focused on the next 100 days and we've mapped out the key milestones and execution plans. We're also making headway in developing execution plans to capture the CAD 540 million in pre-tax annual run-rate synergies that we talked about by 2019. Also, we've now announced the senior leadership and management team for the business. We're very pleased as well to have a group of great leadership people with diverse experience and perspectives leading our company. So, I think we're in good shape here overall. And teams are ready to take the integration plans live. Finally slide 20 captures our investor communication plan for post-closing. One of our first task out of the gate is going to be preparing a combined 2017 outlook for the business. We expect to communicate that outlook in May along with the Q1 results. At that time, we'll be able to formalize the dividend top-up announcement for the year and provide our 2017 guidance for Enbridge. We also expect to hold an initial investor conference later in the quarter, most likely before the summer, to provide an update on integration, synergy capture, and a high-level lock-through of the combined business. Towards the end of the year, we'll hold our usual full Enbridge Days investor conferences, which will roll out our combined long-range plan, financial outlook, as well as 2018 guidance, and dividend plan. We've had a lot of positive feedback and significant new investor interest as a result of this transaction. So, we want to continue building on that momentum, and we're looking forward to communicating more with the investment community as a combined company in the very near future. So with that update on the transaction, I'll turn it back to the operator for questions.
Operator: Thank you, sir. And we'll now take questions from the analyst community. From RBC Capital Markets, we have Robert Kwan on line. Please go ahead.
Robert Kwan - RBC Capital Markets: Thanks, good morning.
Albert Monaco - Enbridge, Inc.: Good morning.
Robert Kwan - RBC Capital Markets: I'm just wondering, as you think about the announcements at EEP, can you just talk about what drove the decision to make the statement that you didn't see bringing EEP back up top as an option and just generally some thoughts on the sponsored vehicle strategies you're going forward?
Albert Monaco - Enbridge, Inc.: Sure. Well, essentially Robert, maybe I should start off – we recognize there's a lot of roll ups going on out there but recognize that no two situations are alike and we study this at length. The strategic review that we started out with for EEP did assess that alternative and that's the conclusion we came to. A couple of reasons, first of all, we do believe still that the MLP structure can be an effective tax advantaged vehicle. I think that's been proven in the past and there are many instances today where that vehicle is effective in a number of cases, including the Enbridge Income Fund and we know SEP at Spectra is a very capable vehicle. It's also proven for us to be a pretty good source of capital and we pull that lever when it makes a lot sense. And for us, we view it as having a good alternative source of capital. Obviously, that cost of capital has to be effective and for EEP, it hasn't been necessarily over the last couple of years. From Enbridge's perspective though, the transaction – roll-up transaction would need to make financial sense for Enbridge shareholders, and would need to be attractive there, too. One of the factors that I think differentiates us somewhat with some of the other situations is the fact that our tax position is different than some. In our case, we have limited ability at this point to utilize a step-up that would come with a roll-up like that, at least for the time being. So, those are the factors that went into our assessment, and that's why we're assessing other alternatives right now in the case of EEP.
Robert Kwan - RBC Capital Markets: I guess I'll – can I ask a really a quick follow-up? You just mentioned limited ability as a step-up, but you said kind of right now. Is there something in the works that might cure that in a relatively near- to medium-term?
Albert Monaco - Enbridge, Inc.: I would say probably not. If you look at our tax position today in the United States, that's not really utilizable at this point. And remember too, with the Spectra transaction, one of the things we talked about in terms of our tax position is that we'll be able to utilize some of the losses that we have outstanding right now against Spectra's income going forward. So it's not something that I would say is in the immediate term.
Robert Kwan - RBC Capital Markets: Okay. And if I can just finish with the mainline, kind of tolling or question. You commented that you expect the Canadian Residual Toll to increase, and I guess just based on the timing, I suspect that refers to – or is that referring to an expected reduction in the Lakehead toll? And if that's the case, is that the cost of service portion or the index based – based on the PPI? And then more broadly, as you think about the Lakehead toll going forward, do you have any thoughts if we see U.S. tax reform reduce the corporate tax rate, what you think FERC might do as it relates to cost of service based tolls and the index based toll?
D. Guy Jarvis - Enbridge, Inc.: So, Robert, it's Guy. I think I'll take that in a couple of parts. First, in turn, we do expect that the EEP tolls will be going down if they're filing on April 1 of this year. A couple of contributors, first off, some of the macroeconomic factors that are driving their tolls that you referenced are lower than would have otherwise been expected. The strength of our throughputs actually in 2016 means that there's not much of a volume true-up from the cost of service elements rolling through their toll. So, as that toll comes down, we'll benefit with the Canadian Residual Toll. I think, in terms of your question around the tax implications around MLPs and whatnot, we really haven't dove into that in the context of what that means for the EEP toll versus the Canadian Residual Toll. We're very active through various associations in keeping on top of that matter, but have nothing definitive in terms of exactly how that translates down to the toll.
Robert Kwan - RBC Capital Markets: Right. And, Guy, actually my question was less about the whole can MLP's collect tax in tolls, more so just around a pure reduction in the corporate tax rate, and what you think FERC might do to adjust just the cost of service buildup of a lower tax collection due to a lower tax rate?
D. Guy Jarvis - Enbridge, Inc.: Yeah. It's hard to imagine how they would address that the way the index tolling is working right now. I think the index toll is designed to leave some of that risk and reward with the pipeline companies for changes like that. So, I think our position would be that the index tolling mechanism deals with a situation like that.
Robert Kwan - RBC Capital Markets: Okay. That's great. Thank you very much.
Albert Monaco - Enbridge, Inc.: Okay.
Operator: From CIBC World Markets, we have Robert Catellier on the line. Please go ahead.
Robert Catellier - CIBC World Markets, Inc.: Hey, good morning. Thank you and congratulations on the FTC approval. This is a great outcome.
Albert Monaco - Enbridge, Inc.: Thank you.
Robert Catellier - CIBC World Markets, Inc.: I was wondering if you could help us with the remaining Competition Bureau review in Canada. Specifically, can you let us know if the Express-Platte Pipeline was part of the FTC review or are there still competition issues there being addressed by the Canadian Competition Bureau?
Albert Monaco - Enbridge, Inc.: Hi, Robert. Obviously, we'd like to give you more information on that. I think all we can really say is that all the information that's been requested by the Bureau, we provided. We continue to work with them. So, we really can't get into any specific matters that are under their review. It's their file. They're looking at it. And when they conclude their review, I'm sure they'll be coming out with their views on it. So, apologies for not being able to get into that detail, but it's just not something we can do right now.
Robert Catellier - CIBC World Markets, Inc.: Okay then. Maybe a quick update on Line 3 permitting; there's been some advancement, notably there's been a draft EIS filed on Alberta Clipper. And can you maybe just walk through the way forward on Alberta Clipper and if you see that derisking the combined capacity of those two pipelines?
Albert Monaco - Enbridge, Inc.: Right. Well, on Clipper, you're right. The environmental report was put forward, as we expected. It was very clean. And so, we don't really expect any issues on that front. The timing obviously is still, I guess, a little bit uncertain, but generally we feel that it's on track and the permit should be received later this year at some point. Right now, of course, the workarounds that we designed allow us to use the capacity on the system downstream of the border. So, I think we're in good shape there. And, as I said earlier on, certainly more positive tone with respect to Federal permitting in the United States, so we don't expect any issues there going forward.
Robert Kwan - RBC Capital Markets: Okay, thank you.
Albert Monaco - Enbridge, Inc.: Okay.
Operator: From Scotia Bank, we have Rob Hope on line. Please go ahead.
Robert C. Hope - Scotia Capital Inc.: Yes, good morning. Thank you for taking my questions. Continuing on, in the U.S., can you just give us some updated thoughts on the Line 5 easement concerns there, potential path forward as well as broadly speaking, how you're thinking about the expiring easements for some of your legacy pipelines?
D. Guy Jarvis - Enbridge, Inc.: This is Guy. I'll tackle that one. So, in terms of the Line 5 easement situation, we've been able to open up the channels of communication again, the tribe on that matter, and we're hopeful that those are going to lead us to find again an amenable long-term solution. I think what we've learned is that we've got a couple of integrity digs that we're going to be doing on the system that are on the right-of-way in their territory, and it was really their concern and understanding exactly what was going on with the pipeline in those integrity digs that seem to have led them to take a position that they had earlier in the year. So, we're pretty confident that we can get in and have a full engagement with them in terms of the safety of the pipeline and all the measures we take to keep it safe and find ways that we do that on a sustainable basis with them, so that they don't find themselves in positions of not having a good understanding of the pipeline that's in their territory. And I think that's really – if you ask what are we trying to do more broadly, I think it's that. I think we're taking steps to increase our engagement with all of our landowners to make sure that they understand the nature of how it is that we're managing the safety of our operations, right down to their individual tract of property. So, it is a significant step up in terms of engagement that we believe we need to do, and we've been at it for better part of two years now and will continue to do that.
Robert C. Hope - Scotia Capital Inc.: All right. Thank you for that color. Is there any statistics you could provide just to give a sense of how much of your easements will be expiring over the next five years?
D. Guy Jarvis - Enbridge, Inc.: I don't have a broad base of statistics, other than I can indicate that I think the one that's nearest to expiry is still, I think, three to four years out into the future, and we're well advanced in talks on renewing that.
Robert C. Hope - Scotia Capital Inc.: All right. Thank you.
Albert Monaco - Enbridge, Inc.: Just I'll add a quick point on that. What we're seeing here perhaps has been elevated externally in terms of some of the questions, which I think are quite legitimate. This isn't entirely new, and we've been, I'd say, very successful over the decades in dealing with renewals. And it comes essentially down to what Guy said around collaborating with communities, and generally, we'll work through these issues very well. In this particular case, there's, as Guy said, a concern around the particular tract, and we'll work very collaboratively with that particular community going forward.
Operator: Okay. From Canaccord Genuity, we have David Galison. Please go ahead.
David Galison - Canaccord Genuity Corp.: Good morning, everyone. Thank you for taking my question.
Albert Monaco - Enbridge, Inc.: Okay.
David Galison - Canaccord Genuity Corp.: So, just on the renewables side, so in the context of the criteria that you sort of laid out for renewables, can you talk a bit about maybe the magnitude of the opportunities that you're seeing outside there, outside of the ones that have already been announced?
Albert Monaco - Enbridge, Inc.: Well, I guess maybe, David, it sort of comes back to the basic fundamental that's driving this. If you look at Europe right now, the target is likely to have – you're probably going to see 50% of the power coming from renewables over the next decade or two here. So, there's been a lot of projects developed but there's a lot more to come, and I think this will likely come about in several different countries – probably three or four main ones. We're seeing lots of flow actually on this. The question for us really is not so much the size of the opportunity set but making sure that the projects that we're pursuing fit the criteria that we have there. I mean, there's some activity that we're just not interested in, in terms of the types of returns and the types of bids that you see in some of them. So, we're going to be pretty selective still in making sure that the criteria that we establish get addressed when we're looking at these new projects. So, I'd say the opportunity set generally is quite large, and we've got a team in Europe looking at these opportunities, scouring and looking through them. And so, hopefully there'll be more coming along. I wouldn't want to make a prediction as to how many megawatts or how many billions that really drives out for us over the next five or 10 years. The approach we take really is – if they fit the criteria, we'll look at them. We've got so many other opportunities across the entire company, we can afford to be very selective in what we're looking at.
David Galison - Canaccord Genuity Corp.: Okay. And then just to touch on the Line 3. Still if things move along and draft EIS completed in April. Are we still looking at 2019 timing, like, can you give any color on whether it'd be early, mid, later half or how you're thinking about that?
Albert Monaco - Enbridge, Inc.: Yeah. I'm not sure we can be that specific. I think we're pretty comfortable saying 2019 but it's really going to depend on a number of timing issues related to both completion of the EIS and then the routing review after that. So, unfortunately, it's hard to say whether it's the beginning, middle or end at this point, being more specific I just – we can't just do at this point.
David Galison - Canaccord Genuity Corp.: Okay. Thank you very much.
Albert Monaco - Enbridge, Inc.: Okay.
Operator: Form TD Securities we have Linda Ezergailis. Please go ahead.
Linda Ezergailis - TD Securities, Inc.: Thank you. Maybe if I can just build on some questions around your offshore wind. I guess when you announced your French wind investment last May, there was a suggestion that it was at a slightly earlier investment point compared to the Rampion project and that over time maybe you'd be able to move to almost a pre-development stage and build those offshore wind projects in-house. And I'm just wondering what your thoughts are in terms of maybe capturing some of those higher returns potentially by investing earlier in the process because this investment here seems to be more of a financial investment at this point?
Albert Monaco - Enbridge, Inc.: Well, mainly just on your last point to clarify, I think the fact that it is somewhat de-risked I guess if you look at where we are on the project. I don't think it should imply that we wouldn't be involved in the development and operations, and execution. The whole premise of this particular one was to move us up the curve exactly to what you're pointing to, which is to become more and more involved. And the condition that we had on this investment is that we'd become equal partners, and that means development, operations, execution. So, we have people dedicated to exactly that. More broadly on your question, Linda, I think it's a good point. There always is a balance between taking on more risk and potentially a higher return being at the very front end of these development projects versus perhaps investing a little bit later in the cycle when the project is de-risked. I think, generally speaking, as we get more and more capable on the development side, we'll probably get into building an inventory of those kinds of opportunities. And ultimately, as I said earlier, we want this to be sustainable growth platform, and that means being involved most likely in various points in time around the development curve. So I think ultimately, we'd like to get to what you're alluding to, but we're always careful given again, the number of opportunities we have to select the ones that fit best at the time, and this one certainly works out well for us because it's a very strong return project. But for us, it's been relatively de-risked, I guess, is the way we look at it.
Linda Ezergailis - TD Securities, Inc.: Okay, Thank you. And maybe just as my follow-up question, looking at U.S. tax reforms, I realize it's early days, but your presence in the U.S. is going to be growing significantly shortly. And I'm just wondering how your – what your preliminary thoughts on kind of the range of possible effects for Enbridge? I realize there's some positive and negative puts and takes probably, on not just a corporate tax rate reduction, but also a loss of interest expense deductibility offset by kind of a better ability to deduct capital investments. And within that, does this affect your views on the potential degree of accretion of your pending Spectra merger?
John K. Whelen - Enbridge, Inc.: Linda, it's John. I mean, those are all things that obviously we're looking at and examining, and we'll look to optimize going forward. I think to answer your last question first, I don't think it's going to have any kind of a material impact on our outlook for the accretiveness of the transaction at the end of the day. We're going to have to watch, and obviously, it's a developing situation, and it's a little – unclear exactly how any new tax legislation will be implemented. Generally, a lower tax environment is better, but we'll have to see how it plays out over time. I'd say it's probably too early to tell, but there's a lot of things strategically that we'll look at in terms of our financial structure and financial planning to hopefully manage those efficiencies going forward.
Linda Ezergailis - TD Securities, Inc.: Thank you.
Operator: From Citi, we have Vikram Bagri on line. Please go ahead.
Vikram Bagri - Citigroup Global Markets, Inc.: Hey, guys. Good morning. On offshore wind projects, we've seen pretty significant decreases in CapEx on turbines and even higher, close to 30% reductions in operating costs. But that is somewhat balanced by decrease in subsidy. So, how should we think about return on your offshore wind investments in Europe? Is it still in high-single digits or – and if you can provide some color on opportunity to reduce CapEx further on announced projects? And any color on – updates on French Offshore Wind project?
Albert Monaco - Enbridge, Inc.: Okay. Well first of all, you mentioned something about high-single digits. I have to be upfront. We wouldn't be that excited about high-single digit equity returns on our offshore wind projects, that's for sure. As to what you're pointing out, I think it's a good observation. With any kind of industry like this that's been developing now for a couple of decades, there's a phase of, I guess, initial subsidy. But we never really anticipated that those subsidies, whether it's in Europe or elsewhere, would continue indefinitely. And I think that as costs come down – as I said earlier, size of turbines and understanding of wind resources and so forth, that allows for lower subsidization. But for sure, we're going to monitor those two aspects of it, the degree of subsidization and the cost structure. They've come nicely together, I guess I would say, for the projects we're involved with. On the French projects, we continue to be very excited about this. I think we've said in the past, on calls, that the commercial underpinnings for the French projects, the three very large ones there, are extremely attractive. In fact, probably the best commercial underpinnings that we've encountered. And we're in there of course with a great partner as well. So, perhaps the only other thing to add there is that they're nicely spaced out over the next several years in terms of their FIDs and execution plans. So, they provide a nice level of growth for us over the next five to six years once those get FID'd. And they're not quite at FID stage yet but hopefully they'll get there hopefully by the end of this year.
Vikram Bagri - Citigroup Global Markets, Inc.: Great. And as a follow-up, I understand you will discuss updated guidance once the acquisition closes. But longer term, I'm looking at ENB standalone 2019 ACFFO per share guidance of CAD 4.50 to CAD 5. Assuming Spectra's acquisition is accretive to ACFFO per share, I was wondering what is baked into that guidance? Does that include some of the risk projects going forward and also if that includes your French offshore investment going forward?
Albert Monaco - Enbridge, Inc.: Just to clarify, are you talking out to 2019?
Vikram Bagri - Citigroup Global Markets, Inc.: Yes.
Albert Monaco - Enbridge, Inc.: Okay. So, I'm not sure, the number that you had there sounded light. It's CAD 5.50 to CAD 6 I believe the guidance we've provided. And what that includes essentially for 2019 is all of our secured capital projects between the two companies. So, it really doesn't include any of the risk probability projects, the CAD 48 billion we were talking about, which really come into play post 2019. So, hopefully that helps your thinking around it.
Vikram Bagri - Citigroup Global Markets, Inc.: Good, that's all I had. Thank you.
Albert Monaco - Enbridge, Inc.: Okay, thank you.
Operator: From Goldman Sachs, we have Ted Durbin. Please go ahead.
Theodore Durbin - Goldman Sachs & Co.: Good morning. Could you give us a sense of the asset sales, how much EBITDA or EBIT was associated with the asset sales?
Albert Monaco - Enbridge, Inc.: Oh, John, I'm not sure if we have the EBITDA forecast. I guess maybe out of the ones that John talked about in his remarks, the EBITDA that's related to those has been reflected in, I guess, the income fund guidance related to the sale of the EPSI System. The other ones that are being referred to in John's comments are, I would say probably fairly minor in terms of EBITDA contributions. Would you expand on that, John?
John K. Whelen - Enbridge, Inc.: Yeah, I think that's right. Wanda, did you have the EBIT for EPSI roughly?
Wanda M. Opheim - Enbridge, Inc.: Yeah, the EBIT for EPSI would have been around CAD 50 million, John.
Albert Monaco - Enbridge, Inc.: That's as I said. That baked into the guidance that John talked about for the fund.
Theodore Durbin - Goldman Sachs & Co.: Okay, that's helpful. And then, any thoughts on, you'd spoken to maybe increasing amount of asset monetizations beyond the sort of CAD 2 billion where you're headed on that?
Albert Monaco - Enbridge, Inc.: Okay. Well, as John referred, we could exceed that amount, but really it's going to depend on what we see for valuations. I think it's a pretty good market honestly with respect to interest we're seeing in some of our assets that aren't – is core to us, that maybe core to somebody else. So, pretty good interest there. We're not driven necessarily by exceeding the CAD 2 billion, but certainly if – we get some interest in some of the things that we have that people might be keen on and then we'll certainly look at that. At the end of the day, we've got so many growth opportunities out there. If we can find something at a very strong valuation that's somebody's keen on and redirect that, I guess, release the equity into organic programs that we have between Spectra and ourselves, then that would certainly be a good trade.
Theodore Durbin - Goldman Sachs & Co.: Great. And then, if I could ask one more just on the synergies. As you get closer to close here, the timing of realizing the CAD 540 million, sort of, on a year-by-year basis between now and 2019?
Albert Monaco - Enbridge, Inc.: Yeah. I guess getting into that level of granularity is not going to be possible at this time, Ted. I will say that it'll be fairly even is our guess through the next couple of years. Obviously, these things take a bit of time to ramp up. I will say, we're pretty confident in the CAD 540 million, that's for sure. The integration planning that we've done with Spectra up to this point. And just as a reminder, that is only planning at this point. We can't execute given the combination is not finalized. But certainly, we feel good about it. It'll probably be graduated through the next couple of years and that's sort of where we are on it.
Theodore Durbin - Goldman Sachs & Co.: Okay. That's helpful. Thank you very much.
Albert Monaco - Enbridge, Inc.: Okay. Thanks, Ted.
Operator: From National Bank Financial, we have Patrick Kenny. Please go ahead.
Patrick Kenny - National Bank Financial, Inc.: Thank you. Hey, guys. Maybe a question for Guy, but just back to Al's comments on how much new takeaway capacity is needed next decade over and above Line 3? Just wanted to clarify what that means for the Line 61 Mainline expansion having just closed by Bakken Pipeline System? Are negotiations with shippers for twinning Line 61 somewhat on hold here until you see TMX or KXL go ahead or will Line 61 be going head-to-head with KXL through 2017?
D. Guy Jarvis - Enbridge, Inc.: Yeah. I think the best way I would characterize our approach right now is, Al referenced an ability to potentially add some more capability out of Western Canada in 2019 that's commensurate with the start-up of the Line 3 replacement. That is our primary focus right now is on dealing with those incremental opportunities, and the reason for that is we think we can do them without doing anything ex-superior like you're referring to. Certainly, when we get talking about post 2019 capacity, all of our options are on the table. And I think, as it relates to Line 61, it really will boil down to whether we're going with more of a staged approach or whether there is a desire for customers to have more of a larger solution coming at one point in time. So, that is part of our mix. We're not actively pursuing it along the right-of-way any longer right now, but it is part of the mix.
Patrick Kenny - National Bank Financial, Inc.: Okay. That's great. Thank you. And then just lastly on Alliance. I wanted to get your thoughts since it's been a year, full-year now since the new tooling structure came into effect and of course we continue to see growth in the Montney and now the Duvernay basically right on top of Alliance. So just wondering what the vision here is for Alliance over the coming years? Debottlenecking versus larger scale expansion, and maybe how you see Alliance positioned in the Midwest market relative to some of the other pipeline proposals coming into the Midwest?
Albert Monaco - Enbridge, Inc.: Okay. Lots in that question. So, let me start by saying that, if you go back a couple of years here, when I think there was some concern about filling up the line and contracting it up, I think we always believe that evacuating gas and the growth outlook that we saw, out of the areas that you're talking about looked very attractive and along with that, I think, Alliance has done a very good job of managing the cost structure. So, both on the revenue side and the cost side, I think, the outlook for Alliance becomes very strong and very competitive relative to some of the other opportunities. The real meat behind that, I guess, is the fact that we can move liquids in the line and it is very unique from that perspective and actually fits extremely well with where the basin is going in terms of – with NGL growth coming out of Western Canada. We're looking at some potential right now, around expansions. I won't be too specific as to whether or not that's debottlenecking or looping or that kind of thing. So, it's probably a little bit too early to tell, but for sure, I think Alliance is extremely well-positioned to get liquids into the Chicago market. Obviously, with Aux Sable sitting there, a very large fractionation position, it's extremely well-positioned to make sure that it continues to move gas into that region. And the equation for producers is obviously not just dry gas ones, so the fact that you've got NGL is really the way to think of it almost. Alliance is a big gathering system for all this NGL into a very strong market with good fractionation capability in Chicago.
Patrick Kenny - National Bank Financial, Inc.: All right. Thank you.
Albert Monaco - Enbridge, Inc.: Okay.
Operator: Thank you. And at this time, we would like to invite members of the media to join the queue for questions. And we do have a follow up finally from Linda Ezergailis. Please go ahead.
Linda Ezergailis - TD Securities, Inc.: Oh. Thank you. Just very quickly, I know you're going to be giving guidance in a little bit but maybe even at just the Enbridge Income Fund level you can help us get a sense of kind of your long-term updated run-rate on maintenance CapEx? I know that some from 2016 slipped into 2017 as well as any sort of indications on how cash taxes might be trending? I know they're low and will likely continue to remain low. And then, any commentary that you can make on those two line items with respect to either Enbridge on a standalone basis or potentially even combined, if I can throw that out?
Albert Monaco - Enbridge, Inc.: Okay. Okay. I think, Wanda or John?
Wanda M. Opheim - Enbridge, Inc.: Sure. Al, I can take that. This is Wanda, Linda. On the fund items for maintenance capital, we see that as we think about our guidance sort of CAD 90 million to CAD 140 million, that's kind of the range we would say for maintenance capital. And on the current income taxes as we think about what we have in our projections, a range of CAD 65 million to CAD 75 million. And at this time on Enbridge, we'll probably just wait until we come out for the full guidance later in May.
John K. Whelen - Enbridge, Inc.: I would agree with that, Linda. I think that's the logical time to come out and give better guidance once we're a combined company and we'll be under the hood, so to speak.
Linda Ezergailis - TD Securities, Inc.: Okay. And then, maybe just as a very quick follow-up on your mainline. Given your commentary on integrity digs and dealing with Line 5 and potential kind of renewables of permitting, that would not have materially changed your maintenance outlook for the mainline from a CapEx perspective, correct?
Albert Monaco - Enbridge, Inc.: That's correct.
Linda Ezergailis - TD Securities, Inc.: Okay. Thank you.
Albert Monaco - Enbridge, Inc.: Okay.
Operator: From Platts, we have Ashok Dutta. Please go ahead.
Ashok Dutta - S&P Global Platts, Inc.: Hi. Good morning.
Albert Monaco - Enbridge, Inc.: Good morning.
Ashok Dutta - S&P Global Platts, Inc.: I had a couple of very quick questions. Al, you mentioned about adding another 100,000 barrels per day of light crude by Q2. Is that going to be primarily directed towards Pad 2? And what kind of shipper interest do you have in hand?
Albert Monaco - Enbridge, Inc.: I think Guy is probably ready to answer that one.
D. Guy Jarvis - Enbridge, Inc.: So, It's Guy. Like AI mentioned, really what we're referencing there is we have now created and made available to our shippers kind of the boundaries of a quality of crude that we think we can ship as a medium blend and potentially utilize some of the light capacity in our system that becomes available from time-to-time. It's not a single crude. It's a range within which refiners, or producers, or marketers could blend and create a specific crude. So, I'm aware that we have customers on all parts of our system evaluating how they might be able to use that. So, I wouldn't say that it's specific to any one group.
Ashok Dutta - S&P Global Platts, Inc.: Okay. Thank you. And the next question, Al, you also said – if you could just walk me through this. So, over and above Line 3, you said that you were looking at adding another 175,000 by 2019. Could you explain how that is going to come about?
Albert Monaco - Enbridge, Inc.: Okay. Well, Guy, do you want to provide some more detail on that?
D. Guy Jarvis - Enbridge, Inc.: Actually, I don't want to provide a whole lot more detail because we're in conversations with our customers about that at this time. And when (71:08) we have the details hashed out with our customers, we'll be more than happy to share that at the time.
Albert Monaco - Enbridge, Inc.: But what we're talking about there is essentially expansions or incremental offerings within the existing envelope of the mainline and greater efficiencies and so forth that would add increments that are driven by when the supply profile kicks in. So, it's really modifications, you could look at it that way, to the existing system. And Guy is right. We probably shouldn't get specific about what types they are at the moment.
Ashok Dutta - S&P Global Platts, Inc.: Okay. And a last question, how is Line 9B getting along in terms of throughput volumes?
Albert Monaco - Enbridge, Inc.: Running pretty full at the moment, Guy, is that right?
D. Guy Jarvis - Enbridge, Inc.: Yes.
Albert Monaco - Enbridge, Inc.: Yeah.
Ashok Dutta - S&P Global Platts, Inc.: All right. Thank you very much. That's all.
Albert Monaco - Enbridge, Inc.: Okay.
Operator: From The Financial Post, we have Geoffrey Morgan. Please go ahead.
Geoffrey Morgan - The Financial Post: Hi. Thank you for taking my question. Just wanted to come back from the comment from early in the call about existing capacity in Line 3 providing enough capacity into the next decade, is your view that only one other pipeline proposal, which is currently out there right now, is necessary to meet the supply from the WCSB over the next 10 years? So, there are three major projects, Trans Mountain, Energy East, Keystone XL out there right now. Is your view that only one is necessary?
Albert Monaco - Enbridge, Inc.: Well, first of all, I think what I said was it really depends on what producers and refiners would like to see in terms of ultimate capacity. It will be their call, but strictly speaking, as I said, if you look at the supply profile, and you look at our expansion, replacement capacity for Line 3, and one other pipeline, that should suffice based on the current supply outlook out to at least mid next decade. So, that's how the capacity and the volumes line up at the moment. But as I said, ultimately, it'll be up to the customers and producers to determine how much excess capacity they would like. And obviously, if volumes change and there's more growth coming out of the basin, that will change the outlook that we have for capacity that's needed.
Geoffrey Morgan - The Financial Post: Okay. Thank you.
Albert Monaco - Enbridge, Inc.: Okay.
Operator: From Reuters, we have Nia Williams. Please go ahead.
Nia Williams - Thomson Reuters: Hi, there. Thanks for taking my question. You talked about Line 5 in Wisconsin and the easements there. Could you also talk a bit about what you're doing with regards to concerns about Line 5 in Michigan and the Straits of Mackinac? Is Enbridge taking concrete steps, other than the two reports that are due to, to deal with this one?
D. Guy Jarvis - Enbridge, Inc.: Yeah. It's Guy. I can jump in. So, we're always taking concrete steps to manage the Straits of Mackinac. I think if you looked at our entire system, there is no other segment of our pipeline that gets more attention and more levels of integrity management than those two pipes under the Straits. Going through it a little bit more broadly, our focus is with the task force that's been established in the State of Michigan. The State has engaged independent experts to do an analysis of the Straits and our Integrity Management Program. And we're providing whatever information to that exercise that is asked of us, and stand ready to continue to engage on the safety with the state and with our Federal regulators and anybody else.
Albert Monaco - Enbridge, Inc.: I think that's right. In a nutshell, fair to say that we're all over this for sure, given the importance of the Straits and our desire to make sure that we're running the system well and preventing any incident. Also, note as well, aside from the task force that the pipeline regulator, PHMSA, has done quite a detailed review. And, as you can imagine, we're always in contact with the regulator. And they are making sure that we're managing the system well.
Nia Williams - Thomson Reuters: Okay. Thanks.
Albert Monaco - Enbridge, Inc.: Okay.
Operator: From The Globe & Mail, we have Kelly Cryderman. Please go ahead.
Kelly Cryderman - The Globe & Mail, Inc.: Hi, there. Good morning. I'm wondering if you can provide more detail about why the Wood Buffalo Project is delayed from Q2 of this year to Q4.
Albert Monaco - Enbridge, Inc.: Well, in terms of the Wood Buffalo pipeline, of course, our job is to make sure that it's ready for service, which essentially will be very shortly, as I said, pipeline construction is just about complete. And so that's what the task is for us. Obviously, with very large projects like this on the upstream side, from Fort Hills partners' position, there is a little bit of variability as to when first oil is achieved. And they'd let us know that that's going to happen at the end of the year here. So, that's when we'll begin the in-service operations. But we'll just ready to go ourselves, actually.
Kelly Cryderman - The Globe & Mail, Inc.: So, it's not on your end, the delay, it's at Fort Hill's?
Albert Monaco - Enbridge, Inc.: Oh, yeah. Sorry. No. The pipeline is – will be ready to go probably by May I think, the time is Guy (01:16:53). And we wanted to be ready in case the Fort Hills production was ready to flow then. As I said, we've been told by the producers that it will be later this year. So, it's really – from our side of it, the line will be ready.
Kelly Cryderman - The Globe & Mail, Inc.: And just one more follow-up. You mentioned in your remarks the more positive environment for energy development in Canada and the U.S. and I assume you're speaking about a more positive voice on energy development from the White House and from the U.S. Congress. What about the opposition to new pipeline projects that remains at the state level, on the ground among indigenous communities? Do you think that will become more important, less important in this – in this new, as you stated, more positive era for energy development?
Albert Monaco - Enbridge, Inc.: That's a very good question actually, and I'm glad you asked it because it allows me to kind of clarify this issue. Generally, it is more positive. If you look at what Canada has done in terms of new project approvals and the diligence that they're going through in terms of consultation and additional environmental work, I think that's very positive. The stance in the U.S. obviously, has changed a bit now and they're certainly positive on energy, generally. And remember that, the way we look at life is that, North America has a real competitive advantage, we believe, on energy. And I think, the conditions are certainly improving at a macro level. But really at the state level and in terms of communities, there's a lot of work still that needs to be done and the way we try and attack that several perspectives being very progressive on safety and environmental protection ensuring that the public still has trust in what we're doing. There's a lot of things that we're moving forward on in terms of advocacy, focusing on the value of energy and how sustainably we develop it in North America and keep our communities safe. So, those are the things that we continue to work on, working closely with communities, listening to their concerns, which are legitimate and then working with them to make sure that we are doing what we need to keep the environment safe.
Kelly Cryderman - The Globe & Mail, Inc.: Thank you.
Albert Monaco - Enbridge, Inc.: Okay.
Operator: From The Canadian Press, we have Ian Bickis. Please go ahead.
Ian Bickis - The Canadian Press: Yes. Thanks for taking my question. Now, sticking with that topic a little bit. On the Bakken deal, obviously, it was delayed a bit because of all the protests and everything. I was just curious if Enbridge was – ever considered pulling out of the deal? And if not, how you went through the thought process of balancing the questionable social license with the business leads (01:19:58) there?
Albert Monaco - Enbridge, Inc.: Yeah. I'm sorry. I missed a part of it. Were you talking about Dakota Access?
Ian Bickis - The Canadian Press: Yes.
Albert Monaco - Enbridge, Inc.: Okay. All right. So, look, there's obviously different points of view on that project. The way we looked at it – and by the way, we expect to be a strong partner in this investment. We did a lot of work beforehand to assess the work that Energy Transfer had done in this area, and we were quite satisfied that they had done a pretty good job. The way we look at the project overall is, from an energy security point of view, it's very important and our customers are looking for ways to move crude in a safe way and that's our job at the end of the day. I think, it's been constructed with the best technology that's out there. And as I said earlier, I think Energy Transfer has put a big priority on safety, which is certainly what very much in line with our view of things. Good opportunities for workers on a project like that and at the end of the day, very focused on stakeholder views. So, we were quite satisfied. We did thorough review of all the actions there, and I think all that has been pretty much confirmed with all of the works that's been done subsequently by the courts in reviewing the challenges. So, we're pleased with the investment. We think it's strategic. We think it's important to energy security.
Ian Bickis - The Canadian Press: Okay. And on the renewable side, do you – with this project, do you have a percentage of – or you have plans for further renewable growth or a target for how much renewables make up your whole portfolio?
Albert Monaco - Enbridge, Inc.: Yeah, you may have missed the earlier comment on that. Broadly speaking, we think renewables for us, particularly offshore renewables in Europe are a good opportunity, but they're only one opportunity in the very big inventory we have particularly post-Spectra, we'll have a very large opportunity set to pursue in oil pipelines, liquids, natural gas pipelines, NGLs. So our renewables will be a component on that. We don't really put a target per se of how much we'd like to invest renewables because I think that puts the cart ahead of the horse I think. So, we look at opportunities as they arise but the fundamentals for renewables continue to be very strong.
Operator: Thank you. We will now turn it back to Jonathan Gould for closing remarks.
Jonathan Gould - Enbridge, Inc.: Okay. Thanks, Brandon. Nothing further to add at our end but as usual, myself and the IR team will be available right away for any follow-up calls. So, thank you everyone and have a great day.
Operator: Thank you. Ladies and gentlemen, this concludes today's conference. Thank you for joining. You may now disconnect.